Alejandro Giraldo: Good afternoon, everyone, and welcome to Ecopetrol's Third Quarter Earnings Conference Call and Webcast. Before we begin, it is important to mention that the comments by Ecopetrol's senior management could include projections of the company's future performance. These projections do not constitute any commitments as to future results, nor do they take into account risks or uncertainties that could develop. As a result, Ecopetrol assumes no responsibility in the event that future results are different from the projections on the conference call. The call will be led by Mr. Javier Gutierrez, CEO of Ecopetrol. And also participating will be Hector Manosalva, Vice President of Development and Production; Pedro Rosales, Vice President of Downstream; Adriana Echeverri, Vice President of Growth and Strategy; Magda Manosalva, CFO; Rafael Guzmán, Technical Vice President; Max Torres, Vice President of Exploration; Alberto Vargas, Financial Comptroller; and Thomas Rueda, Interim CEO of Cenit. We will begin the presentation with the milestones of the third quarter of 2014, followed by the highlights by business segment and our financial results. We will close with the outlook for the fourth quarter and full year 2014. I will now turn the call to Mr. Gutierrez, CEO of Ecopetrol.
Javier Genaro Gutierrez Pemberthy: Thanks, Alejandro. Good afternoon to all the participants in today's conference call. In the third quarter of 2014, we returned to the path of growth in production with a 3% increase compared with the previous quarter, due to better operational and security conditions and progress of key projects in our fields. However, financial results were lower due to: first, a drop in international oil prices that caused a reduction of $9.40 per barrel in our export crude oil basket compared with the previous quarter and of $11.50 per barrel compared with the third quarter of 2013; and second, the effect of the Colombian currency devaluation of COP 109 per dollar during September in our dollar-denominated liabilities that led to a nonoperating loss which, going forward, is offset with the revenues in dollars from our exports for the whole year. In terms of operations, we highlight important achievements in every business segment such as: the record production of 66,000 barrels per day in Chichimene field that shows the strengthening of the private [ph] operation of Ecopetrol; plus the starting of 2 nonthermal recovery pilots. In exploration, we highlight the recent announcement of the successful well, Leon, in the U.S. Gulf Coast, in partner [ph] achieved and operated by Repsol, as well as the 5 blocks awarded in Colombia during the 2014 National Hydrocarbons Agency round, 1 of 10 to Ecopetrol and Shell in consortium, this last one as operator, and 4 blocks to our subsidiary, Hocol. We transported 5% more crude oil and products driven by the higher volumes of crude oil coming from Oleoducto Bicentenario, the NAFTA through Pozos Colorados-Galán system and a lower number of attacks during the quarter. Furthermore, we reported 94.7% progress in the modernization project of Cartagena. We exported 5% more crude oil and continue with our diversification strategy in the European and the Asian markets, recently signing an agreement for exporting crude oil in South Korea. It is worth highlighting that $1.2 billion international bond offering as well as the unchanged rating of BBB and Baa2 from Fitch and Moody's. Finally, we must also mention the signing of a 4-year collective agreement with our unions. Please move to the next slide to review our investments. Investment in the first 9 months of 2014 amounted to $5.6 billion, comprising investments in both the parent company and affiliates prorated by Ecopetrol's stake. Out of total invested, 48% was allocated to production, mainly for drilling and for constructing facilities in the fields at the Llanos Orientales region. 24% was allocated to refining for the modernization of Cartagena refinery and the utilities master plan at Barrancabermeja refinery. 16% was allocated to exploration, mainly for acquisition of information by means of seismic programs and drilling of exploratory strat tests and appraisal wells; 11% to midstream, mainly to add capacity in Ocensa and Magdalena Medio systems, to San Fernando-Monterrey line and the optimization of Caño Limón–Coveñas; and the remaining 1% through IT and research and development projects. Now I'll turn the presentation to Max Torres, our new Vice President of Exploration, who will comment on the main results of this segment.
Max Torres: Thank you, Mr. Gutierrez. During this year, 14 wildcat exploratory wells were drilled in Colombia. 13 of these wells were drilled by Ecopetrol S.A. and 1 by Petrobras. The wells, Orca, in Colombia offshore operated by the company Petrobras, Nueva Esperanza located in Block CPO-9, Karshika 1 [ph] located in Block Quisende [ph] and Casabe-K in the Middle Magdalena basin are still under evaluation. The well Tibirita 1A drilled in Caño Sur block proved the presence of hydrocarbons, while the remaining wells were dry. Additionally, our subsidiary Hocol drilled 3 wells which were unsuccessful. Internationally, it is important to highlight that Ecopetrol America Inc. completed the drilling of 2 wildcats, Leon, which was under evaluation at the end of the quarter and it was recently confirmed as a discovery; and K2/5 [ph], which is dry hole. Similarly, in Angola, the well, Dilolo 1 in Block 39/11 was drilled and declared dry, and we started the drilling of the well Jacaré in Block 38/11, operated by Statoil. Furthermore, 5 blocks were awarded in the 2014 ANH Colombia bid round, 1 offshore block to Ecopetrol and Shell in a consortium, and 4 onshore blocks to our subsidiary, Hocol. Now I pass the presentation to Mr. Rafael Guzmán who will comment on the production results.
Rafael Guzmán Ayala: Thank you, Max. In terms of production, during the third quarter of 2014, Ecopetrol asset group managed to reverse the decreasing trend in production observed during the last quarter. We had an increase close to the 20,000 barrels of oil equivalent per day, reaching a total of 755,000 barrels of oil equivalent per day. This is explained mainly by an increase in the production of the Chichimene field. Chichimene reached a record production during the quarter of close to 66,000 barrels of oil equivalent per day, due to the entry of new facilities in both producing and injecting wells, additionally, the quarter evidenced a significant reduction in the impact of the attacks to the infrastructure. In comparison to the same period of last year, the production of the group is 5.7% lower. The difference is explained mainly by 3 factors: first, limitations in water disposal, essentially in Rubiales; second, the temporary reduction in production in the gas fields of Guajira due to the start of the GACE IV project. This project allows us an increase in the recovery factor through the reduction of the pressure at the wellhead. Finally, operational difficulties associated with communities' blockades, which have generated delays in the entry of new facilities and new wells in several fields. It is worth mentioning that during the quarter, the environmental license for the development of the Caño Sur field was granted. This is an important milestone to reach 25,000 barrels of oil equivalent per day by the end of 2015. Likewise, the approval of the license required to transfer industrial waters to third parties was granted by the competent authorities. This will allow us to reduce the limitations in the capacity to dispose water in some of the main fields, both in the medium and the long term. Another important milestone during the quarter was the implementation of the new regional operating model, with the creation of 3 regional vice-presidencies, Orinoquia, Central and South, together with the fourth vice-presidency in charge of assets operated by partners. This model will allow us to improve our control on operations, while at the same time, give us a closer and more effective interaction with the communities. Finally, we continue with our strategy to increase the recovery factor in our fields. Evidence of this is the starting of 2 new pilots during the quarter, of which, we will see more detail in the next slide. Up to September 30, we have started 2 new pilots. The first of the 2 new pilots is for a chemical-enhanced oil recovery project in Palo Grande. The second one is a gas Huff & Puff project in Provincia. With this, we reached a total of 5 pilots started by the third Q of this year. Up to today, we have started an additional chemical pilot in Casabe, increasing the total number to 6. The company maintains its goal to start 13 pilots in 2014 and the remaining 7 pilots starting in the fourth quarter. The contribution from these pilots is important for the incorporation of research and incremental production mainly between the years 2017 and 2020. Now let's move to the next slide. In terms of thermal recovery, our focus is mainly in our air injection pilot in Chichimene. This pilot completed the construction of the laboratory at the Instituto Colombiano del Petróleo, ICP, and has already moved more than 30% of the necessary equipment to the field. We expect to complete constructions of the facilities by the end of the year, which will allow us to start the injection process by the second quarter of 2015. Finally, next quarter, we will finalize an agreement with Stanford University for research and development of thermal recovery methods. Now I will leave you with Thomas Rueda, who will comment on the results of the midstream sector.
Thomas Rueda: Thank you, Rafael. Good afternoon. During the third quarter, the transported volumes increased by 4.9% versus the same period of 2013, reaching 1,232,000 barrels per day. Crude oil pipeline transportation increased by 5.2% compared to the third quarter of 2013, mainly due to the increase in the volumes transported through the Ayacucho Coveñas pipeline, as a result of the higher volumes received from Bicentenario pipeline as well as the increasing volumes resulting from the lower impact of the attacks against the transportation infrastructure. In addition, more volumes were transported by Ocensa as a result of quick wins from the so-called Delta 35 expansion project. Out of the total volumes transported, approximately 74.2% belonged to Ecopetrol. Transportation of refined products increased by 3.9% versus the third quarter of 2013, mainly due to the increase in the NAFTA volumes transported in the Pozos Colorados–Galán PI [ph] system for heavy crude oil dilution. Out of the total volumes transported, approximately 50.7% belonged to Ecopetrol. Regarding our projects under execution, during the third quarter of 2014, we completed the Vasconia-Galan 60,000 barrels per day capacity expansion in order to reach 220,000 barrels and ensure the crude oil supply to the Barrancabermeja refinery. With this, I hand over to Pedro Rosales who will comment on the downstream results.
Pedro Alfonso Rosales Navarro: Thanks, Thomas. During the third quarter of 2014, the throughput of the Barrancabermeja refinery increased by 9,000 barrels per day compared with the same period of 2013 due to the operational stability of the process units. The gross margin of this refinery was $15.50 per barrel, $5.30 higher than the third quarter of 2013 as a result of lower crude oil prices and higher spreads between products and crudes. We took advantage of the situation, processing more crude oil. Furthermore, at the end of the third quarter, the expansion and modernization of the Cartagena refinery reached 94.7% progress in highlighting the partial mechanical completion of 16 units out of 31 included in the project, which allow us to start the pre-commissioning process of these units. By year end, we expect to have the mechanical completion of another 13 units. In terms of volumes sold, domestic sales increased in 35,000 barrels per day, 11% more than in the third quarter of 2013. The reasons for this growth were related to higher natural gas availability from royalties and increased thermoelectric and industrial demand of natural gas in Colombia. In addition, we sold more crude oil volumes to related companies, taking advantage of transport synergies. The exported volume was higher in 12,000 barrels per day due to the larger crude availability resulting from the shutdown of the Cartagena refinery since March of this year and the increasing fuel oil production related to higher throughput in the Barrancabermeja refinery. It is important to mention that continued increase of sales to Asia, where we delivered 37% of the crude oil exported volume and to Europe, where we delivered 18%. As part of our market diversification strategy, the first supply contract of crude oil with a South Korean refinery was signed. Such volumes will be delivered in the last quarter of this year. Now I turn the presentation to Magda Manosalva who will comment on the financial results for the period.
Magda N. Manosalva: Thanks, Pedro. Please go to the next slide in order to review the drivers that lead to a lower net income between the third quarter of 2014 and the same period of 2013. Net income amounted to COP 2.36 trillion, COP 1.6 trillion less than in the same period of 2013, explained mainly by the following aspects: first, the lower sales price in line with the decrease of international oil prices; second, the devaluation of the Colombian peso versus the dollar mainly in September, which led to a nonoperational loss due to the valuation of our dollar liability position, which was not offset in that month by income coming from exports. It's important to mention here that the devaluation of the peso has 2 opposite effects in our P&L statement: a positive flow effect given that most of our revenues are in U.S. dollars; and a negative stock effect due to our current liability position. The net accumulated effect of the devaluation in our results is positive as the sale of crude oil and products at a higher exchange rate more than offset the effect of the valuation of the net position in our balance sheet at a given moment. Third, the higher fixed cost of transportation under Ship or Pay contracts and from the increase in transportation fees authorized by the Minister of Mines; fourth, lower net income of some subsidiaries. Now let's move on to the next slide to review the main lines of our P&L [ph]. Revenue decreased due to the effect of an $8.9 per barrel drop in crude oil, products and natural gas prices and 8,000 barrel reduction in sales volumes and a lower service fee charged to Cenit. The decrease was partially offset by the effect of the peso devaluation in our sales. Variable cost decreased 7% as the net result of, first, a 29,000 barrel decrease in purchases mainly of royalty crudes at a lower price of $3.40 per barrel; second, lower amortization and depletion cost mainly in the Rubiales, Castilla, Chuchupa and Quifa fields; fixed cost rose 10% due to the higher transportation costs under Ship or Pay contracts in Oleoducto Bicentenario; higher fees approved to Cenit by the Ministry of Mines and Energy in July 2014; and maintenance costs. Operational costs rose significantly, explained by a reversal of a legal provision amounting to COP 253 billion in the third quarter of 2013. Additionally, in the third quarter of 2014, we had higher expenses from exploration and from customs and port services. Additionally, the nonoperational loss is explained mainly by: first, the effect of the Colombian peso devaluation in the mark-to-market of our liability position in dollars already explained; and second, lower net income of some companies, mainly E&P subsidiaries in Brazil and the U.S. Gulf Coast due to unsuccessful exploration and the effect of lower oil price. Please go now to the next slide. The adverse aspects explained in previous slides led to a decrease in our pretax net income and therefore, a lower net income tax payment provision. As a result, net income and EBITDA also decreased when compared to 2013. I pass now to Mr. Gutierrez to present the outlook for the last quarter of 2014.
Javier Genaro Gutierrez Pemberthy: Thanks, Magda. Please go to the next slide to view the outlook for the fourth quarter and the full year 2014. Regarding exploration, we expect to have the final assessment of the wells, Orca, in the Colombian offshore, and Nueva Esperanza in Block CPO-09; and complete the drilling of 4 wells, 3 in Colombia, Boranda [ph] , Calypso [ph] and Bujarenge [ph], and Jacaré in Angola in order to finalize the exploratory campaign of 2014. On production, thanks to the higher water treatment and oil handling capacity, we will have larger production in Castilla and Chichimene fields. Also, we will close the year with 13 secondary recovery pilots. In midstream, we will start the operation of the Delta 35 expansion in Ocensa. Regarding refining, we expect to start the pre-commissioning stage and close the year with the mechanical completion and the delivery of 29 out of 31 process units in Cartagena refinery. In terms of new accounting standards, we will continue with our plan in order to implement IFRS standard reporting starting January 1, 2015. Now I open the session to questions from our participants. Thank you so much.
Operator: [Operator Instructions] Our first question comes from Frank McGann with Bank of America.
Frank J. McGann - BofA Merrill Lynch, Research Division: Just looking at the production from the Rubiales field, which has been a source of, I guess, a negative trend for you, how you're looking at that? Obviously, the environmental licenses seem to be the key culprit. Do you see that changing much over the next couple of quarters? And what do you think the trend in production will be 2015, 2016 and as you take over the field in the second half of 2016? And should we view the short-term declines that we've been seeing actually as maybe a positive for you since in the end, you don't produce it now, but maybe that will potentially increase the level of production that you can have later on that will be 100% benefit to Ecopetrol?
Javier Genaro Gutierrez Pemberthy: Hi, Frank. Hector Manosalva, to say the answer in relation with Rubiales production perspective. Please, Hector.
Hector Manosalva Rojas: Hi, Frank. The Rubiales field currently has a production of 170,000 barrels per day, mainly due to the fact that it doesn't have a license for water disposal, something that is being expedited before the environmental entity. What we expect is that with additional drilling that we have, our plan for the fourth quarter, the production of that field will be around 185,000 barrels. We expect that for the first quarter [ph], the approval of the use of water for a third party, this will enable us to dispose of 500,000 barrels of water in the first section. And from April next year, 500,000 barrels, additional barrels. And with this, we increase the production of the field by 390,000 -- 395,000 [ph] barrels. It is important to mention that we have reached an agreement between Ecopetrol and Pacific for the drilling [ph] campaign of 2015. And this clearly will enable us to recover the production levels between the third and fourth quarters next year.
Javier Genaro Gutierrez Pemberthy: Frank, do you have any other comment? Or is -- or the answer is -- do you consider it's complete?
Frank J. McGann - BofA Merrill Lynch, Research Division: No, I think it's pretty clear. Just in terms of the -- just a follow-up though. In terms of the level of production that you think you'll reach [ph] by the end of next year as you drill these additional wells, will it go back to 200,000, 210,000? Or what do you think the level will be towards the end of 2015?
Javier Genaro Gutierrez Pemberthy: Okay.
Hector Manosalva Rojas: Frank, yes. We have foreseen to drill by 2015, 196 wells, and that will enable us to be, by the end of 2015, with the production close to 195,000 or 200,000 barrels.
Operator: Our next question comes from Felipe Dos Santos with JPMorgan.
Felipe Dos Santos - JP Morgan Chase & Co, Research Division: I just got some questions. Your expectations for the production basis per well that you expect for both secondary and tertiary recovery projects and how do you suppose end of '15, [ph] per well will be different by basin? You showed that difference of techniques in different basins in the presentation. And just second, how your air injection and the steam injection techniques would be different from the other ones [ph] that we saw and we see the companies applying in the rest of the globe?
Javier Genaro Gutierrez Pemberthy: Thank you, Felipe. Rafael Guzmán is taking the answer.
Rafael Guzmán Ayala: Okay. Felipe. Regarding the first question on the productivity per well, that really depends on both the technology and the result [ph] we apply to this technology. What we have seen in the past is that projects like -- or fields like La Cira-Infantas and Jarigui [ph], thanks to this secondary recovery methods, we have recovered production that we had not seen in many years, sometimes, 50 years back that we had not seen that production. And that's a combination of both the technology being applied and the number of wells we produce. So I cannot give you the specific on per well production, but what you can see in our previous results, the recovery for oil production in this field. Regarding the second question on the application, air injection, the steam injection, that also depends on the fields. We're currently working on the project to do a pilot of air injection in Chichimene. This field is applicable, is suitable for air injection, thanks to the deepness of the field, the quality of the oil and the quality of the rock. So we're hopeful that we'll have good result from this pilot, but we need to wait and see there. In terms of vapor injection, we, with partners, we have applied steam injection in many fields, mostly in the fields of the Middle Magdalena Valley and we see high recoveries of steam applied to these fields. In addition to that, we have recently signed an agreement with Occidental to develop -- or to further develop a field we have, Teca, and apply steam injection. What we have seen in other companies and other countries is that the steam injection can go up as high as 60% of recovery factor, and that is the type of target we have for those steam injection that we can do directly or through partners like the case of the Teca field.
Javier Genaro Gutierrez Pemberthy: Felipe, excuse me. Hector Manosalva has some additional comments in relation with the recovery pilots.
Hector Manosalva Rojas: Felipe, in order to mention, currently, just to mention that we are developing injections and water injection projects, and that enable us to have selection injection in 18 reservoirs simultaneously. And clearly, our objective is to incorporate steam injection technologies, SAGD [ph] and ongoing steam injection.
Javier Genaro Gutierrez Pemberthy: Please, Felipe, go ahead.
Felipe Dos Santos - JP Morgan Chase & Co, Research Division: Yes -- no, just one follow-up on different topic. What is your CapEx expectation for this year? And how do you see this reviewing into the end of this year?
Alejandro Giraldo: Felipe, hi, this is Alejandro. Can you please repeat the question?
Felipe Dos Santos - JP Morgan Chase & Co, Research Division: Yes, just to see how do you think about your achieving the CapEx expectation for the end of 2014?
Javier Genaro Gutierrez Pemberthy: Okay, Felipe. As we inform in the press release up to now, we have complete around $5.6 billion, of which around $3.3 billion are for diverse [ph] investments in Ecopetrol's projects, and the rest is our participation in the affiliates' investments. We consider that at the end of the year, we must be around 80% of the original budget that it was announced at $10.3 billion. In that sense, we believe will be around a billion [ph], a proportion that is going to be around $5 billion by Ecopetrol and around $3 billion, our participation in the investment affiliates. This is the current projection we have in relation with the investment plan.
Operator: Our next question comes from Daniel Guardiola with LarrainVial.
Daniel Guardiola - LarrainVial S.A., Research Division: I have a couple of questions. I'm going to try to be brief. The first one is regarding production. Basically, in previous quarter results, you have mentioned that production at Castilla should double by year-end 2015 up to around 200 barrels per day. And that said, I would like to know why production declined by 8% during the quarter, and what measures are you putting in place to guarantee this expected growth by year-end 2015? And my second question, which is in line with this, I would like to know if you are planning -- well, basically, when we look at production levels right now, we look at 2014 guidance is very difficult to achieve. 2015 guidance as well as you will have to have around 245,000 barrels per day. And I would like to know if you could please share with us from where will come this growth and if you're expecting to revise downward your 2015 production guidance.
Javier Genaro Gutierrez Pemberthy: Daniel, Hector Manosalva is commented in relation with your first question.
Hector Manosalva Rojas: Good afternoon, Daniel. In regard to production of the Castilla field, the average production of the field during this year has been 104,000 barrels per day. And production has not increased in these initial quarters, first quarters, because of the constraints that we have with production infrastructure, which we'll start operating in the fourth quarter this year. And this will allow us to increase field production to 116,000 barrels by the fourth quarter. And we will ramp up production supported by the investment plan of 2015. It must be mentioned that the field has a potential to develop a growth plan up to 200,000 barrels.
Javier Genaro Gutierrez Pemberthy: Daniel, in relation with the production levels for the present quarter, basically, our goals are to increase 10,000 barrels per month during October, November and December. If you compare with the figures at the closing of the third quarter, the idea is basically considering the Chichimene fields and Castilla fields, continue with the production growth there with 10,000 barrels per month of increase going to the end of the year to a number of around 745,000 barrels of Ecopetrol's production plus 51,000, 52,000 barrels per month of our affiliates. In that sense, we will be around almost 800,000 barrels at -- for the last month of the year, for December. And in relation with our guidance for 2015, it will be part of the information we're going to reveal to the market with the approval of the budget at the end of the year in December, basically. This is our current estimation in relation with the production for the next months.
Daniel Guardiola - LarrainVial S.A., Research Division: And if I may, just to have a follow-up question regarding the leverage, just bearing in mind, leverage has been increasing due to the CapEx requirements and bearing in mind as well that the oil price scenario went down around 20 barrels per day in the last 1 month. I would like to know what measures are you planning to put in place actually to stop [ph] the balance sheet of the company to go to leverage levels of 1.1x, 1.2x net debt-to-EBITDA. Now that being said, I want to know more specifically what are your thoughts on a possible spinoff of Cenit and potentially a listing of these business units?
Javier Genaro Gutierrez Pemberthy: In relation with the investments for the increase of the production for the last part of this year, basically, the completion of the projects that we have been develop practically since half 2013 [ph], practically all the investments are in place right now, and we are in the last steps of the projects. We have been commented several times about the difficulties we have been experiencing in the region to complete those projects. But practically up to now, we have complete all the majority of the projects needed to increase the levels of production in Chichimene and Castilla for the next months, in relation with the investments for the next year 2015. As we have already mentioned, we are in a complete revision process for the strategy and also to adjust our investment plan cost and also, trying to apply different criteria to continue generating value to our shareholders and different groups as we have been during the last 7 years with rentability of around 20% per year. We are totally conscious of the need to review our strategy plan to adopt to the new conditions in the market and also considering the changing in conditions in Colombia in terms of the operations and the development of the opportunity we have in our portfolio. We have been working very hard and as we have already mentioned, maybe we are going to be able to have some announcements in relation with that at the end of the year or the beginning of 2015. But definitely, we are in the process to adjust our investment plans and in that sense, to be really careful in terms of the leverage of the company, taking care of the investment grade rating that is so important for us, and we are totally conscious of the important to keep in that line.
Daniel Guardiola - LarrainVial S.A., Research Division: And sorry, if I may, what are your thoughts on a possible spinoff of Cenit?
Javier Genaro Gutierrez Pemberthy: It hasn't been considered up to now. Maybe it is important to mention that we have been in the process to consolidate Cenit, and it's just part of the processing we have been working since several months. And there are also some additional estates [ph] because it is, for example, very much important how to align all the operational aspects, also how to optimize the cost structure of the company because we're going to think in one suggestion, that you -- of the one you have mentioned. It is important that we try to obtain most of the value if possible that we can obtain [ph] from one opportunity like that. We have been working very hard in the process of the optimization. Recently, we have produced some additional improvement in terms of the cost. It can be observed. For example, right now, the PPA, [ph] for example, has been around 44%, with a clear improvement if you compare with the results of the previous year. As you can observe, we have been working very hard, but we still have some steps, some additional steps to consider 1 alternative like that, that could be possible. But we need to consolidate all the process in terms, mainly, of the operational aspects, but also in terms of the -- some of the regulatory matters that could be completed. But the government, Ecopetrol and also Cenit are working very hard in those aspects to consolidate the position of the Cenit in the market.
Operator: Our next question comes from Paula Kovarsky with Itaú BBA.
Paula Kovarsky - Itaú Corretora de Valores S.A., Research Division: 2 quick questions, 1 on production. The outlook slide mentioned 13 nonthermal recovery pilots starting in -- still in 2014. Could you possibly share with us what do you expect to be the contribution in terms of exit [ph] production of those 13 projects? So this is question number one. And question number two, in terms of -- you mentioned you continue to talk a lot about the importance of recovery of projects be it thermal or nonthermal in delivering the production targets, especially from 2013 onward. So I wonder if there's been any change in -- to the composition of your production targets, whether there's been some setbacks in exploration. So is it the case that we should expect more contribution from those enhanced recovery projects or the idea of having exploration contribution continues?
Javier Genaro Gutierrez Pemberthy: Thank you, Paula. Hector Manosalva and Rafael are taking the answer. Please, Hector?
Hector Manosalva Rojas: Good afternoon, Paula. In effect, development of the pilots and the projects. For the recovery projects, thermal and nonthermal projects and pilots have allowed us to have important increase to production. And this will continue to be so in the forthcoming years and so far, as we develop the projects. And execution of water injection projects have allowed us to add close to 75,000 barrels per day to the basic production, and the results are clearly being forecasted with these projects. For 2014, the technical results have not been complaining of the lower production. We've just had some difficulties in terms of concluding or terminating these projects or ending the projects due to public order issues and difficulties with the communities in order to be able to conclude the projects. For 2015, we will have an important part of the infrastructure already operating. And this will allow us to have additional volumes from these projects. We must mention that the recovery program has foreseen an increase, 18 -- the recovery factor, which is 18% currently to a 32% recovery factor, and this includes 3.4 million barrels per year. To date, in this program, we've uncovered 1.3 million and we have foreseen to include the remaining volume by 2020. Rafael will complement this question.
Rafael Guzmán Ayala: Yes, but perhaps I would add on that is that the thermal recovery is expected to initiate the production or contribute to production in the year 2020 or later on. We are currently in the early pilot stages of that technology, specifically the Chichimene or injection project. Water, we have been injecting water and producing -- or using this technology for quite some time. At the moment, we're injecting to recover oil close to 1.3 million barrels of water and obtaining a production over 100,000 barrels of oil per day out of it. With our nonthermal pilots that we have, we will be adding both reserves and production from here until the year 2020. We have, in total, 52 projects, pilots, at the beginning that we're converting to projects. Like I said, they will continuously increase the participation of the production in Ecopetrol.
Paula Kovarsky - Itaú Corretora de Valores S.A., Research Division: Okay. Just a quick follow-up. So the 13 nonthermal recovery pilots mentioned in these like 14 [ph] regarding production, are not supposed to have any specific contribution or additional contribution in the fourth quarter? It's not quite clear to me.
Javier Genaro Gutierrez Pemberthy: No, no, no.
Paula Kovarsky - Itaú Corretora de Valores S.A., Research Division: Or did 75,000 barrels a day you mentioned is during the year, or is it since the launching of the projects?
Javier Genaro Gutierrez Pemberthy: No, no. The previous we have mentioned is what we have been already producing through enhanced recovery techniques. Of the 13 pilots that we do this year, they will have to solve [ph] in 1 year and 1.5 years. And after that, we will have to sanction a project and do the investment. So we expect that production increase and reserves increase from a pilot, it takes about 4 to 6 years to come on line. Okay? So the -- what we're doing basically at the moment is applying these techniques to the field so that the future of the fields will continue for a long time. Okay? So like I said, the total cycle time from pilot to production reserves, takes 4 to 6 years, contribution in '18, '19, '20.
Hector Manosalva Rojas: Paula, I think it's important to mention, Paula, that the increase factor, recovery factor that we have been developing in the past 5 years, will allow us to take the production to 800,000 barrels and be able to maintain a plateau production between 9 and 10 years by executing these projects. Currently, we have more than 35 fields with water injection, and there are 52 pilots that are being developed. And the thermal recovery projects will start contributing to production, important contributions as of 2018.
Operator: Our next question comes from Gustavo Gattass with BTG.
Gustavo Gattass - Banco BTG Pactual S.A., Research Division: So I had 3 quick questions for you. The first one is probably the simplest of all. I was just wondering at this time, does Ecopetrol have any hedges on oil prices that are relevant for the company? The second one really has to do with the 4 fields that are potentially going to deliver growth. So Castilla, Chichimene, Akacias and the Caño Sur field. I was just wondering whether, just like you talked about on Castilla, whether you could talk about the key milestones that each of these fields has for growth. So what should be we watching for? And lastly, I really just wanted to get just a confirmation really. From what you said, Mr. Gutierrez. I get the impression that Ecopetrol would be willing to reduce the level of spend to protect the balance sheet. I was just wondering is the idea of potentially raising cash to do all the investments you guys planned in the past, is it out of the question now or not? And that's really it.
Javier Genaro Gutierrez Pemberthy: Okay. Thank you, Gustavo. Magda Manosalva is taking the first question.
Magda N. Manosalva: Yes, Gustavo. Concerning your question about the hedge we can have, we do not have hedges at this time in Ecopetrol. Normally, what happens with our current policy is that we establish if we are going to need to a hedge for next year when we have really readied the budgets. So we are going to be considering that when we have the budget for 2015 ready.
Javier Genaro Gutierrez Pemberthy: Okay. Hector Manosalva is going to refer to the main milestones of the different projects in the Meta area related to the increase of the production for the next months. Please, Hector.
Hector Manosalva Rojas: Thank you. For the Castilla field, we will be concluding 116,000 barrels production. And for the next year, the first 2 quarters, we foresee a growth of about currently [ph] 150,000 barrels. And for the second quarter, the field growth will depend on the allocation capacities in the field and investment decisions made for 2015. Now for the Chichimene field production, after the shutdown during the weekend, the last weekend, to include new infrastructure, it will be close to 70,000 barrels by mid-November and close to 75,000 or 80,000 barrels by December of this year. Now in the Akacias field, currently as you can remember, is being in the production test, with 9 delimiting wells and 1 discovery well and the production exceeding 10,000 barrels per day. And once we have the exploration license -- exploitation license for the well -- for the field, that we hope that will be approved by the third quarter of next year, we will start a development plan that will take production of the field to 50,000 barrels per day. Now the Caño Sur field, has the exploitation license already approved, and in the first quarter of next year, we'll start drilling 130 wells and construction of infrastructure that will allow us to increase production to 25,000 barrels per day. Clearly, all of these investment projects will depend on portfolio decisions and the behavior of the price established for the investment decision.
Javier Genaro Gutierrez Pemberthy: Gustavo, in relation with the adjustment of the CapEx and the cost reduction plan, as we have already mentioned during the call, first, we are in the process of reviewing our strategy. This is an important milestone for the company after 7 very successful years of growth, revenues and profitability, additionally, are the current conditions in the market. And we are totally conscious of the need to adjust of all our investment plans in exploration, in production, also in refining and also in transport. As we have been working in the last month, looking for opportunities how to adjust our investment plans for the next year. Additionally, we are also looking for opportunities to reduce our fixed cost, operational and variable cost. We are looking for different strategies and we are very conscious of the necessity to taking care of the cash flow to protect the financials -- the sound financial condition of the company. We are in this process. And when we going with the announcements to the markets in December and then with the results of the revision of the strategy, the market could observe how are the reductions and how are the adjustments in which we have been working a result of the different alternatives we are now studying to have new conditioning terms of our investment plans and our operational needs. And also, we are very much careful about the financing, looking for the protection of the investment grade condition, that is so much important for us, and also in terms of the protection of the cash flow of the company. This is also the mandate of our Board of Directors, that's why we have been working very hard with the revision of the strategy during the last month. And we expect to complete the results of this process for the beginning of the next year when we hope to be able to deliver some announcements in that address to the market.
Operator: This ends our Q&A session. I'll turn it back to management for closing remarks.
Alejandro Giraldo: Okay. Thank you, all, for your participation. For any follow-up questions, please contact us, Investor Relations, and have a good afternoon. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's program. This concludes the program. You may all disconnect.